Operator: Good day, and welcome to the Nickel Industries Limited 2025 Full Year Results. [Operator Instructions] And finally, I would like to advise all participants that this call is being recorded. Thank you. I'd now like to welcome Justin Werner, Managing Director, to begin the conference. Justin, over to you.
Justin Werner: Thank you very much. If I could ask the moderator to please turn to Page 3. Welcome, everyone, to the Nickel Industries annual results presentation. I'd like to start off, firstly, with safety, 17.8 million safe man hours worked, a significant increase on the man hours worked in 2024 and over 26.1 million man hours of work being worked since our last reported LTI back in 2021. So you can see our LTIFR and TRIFR significantly below the world steel average. In terms of ESG, we continue to be a leader in Indonesia. You can see a number of awards there, including awards from prestigious companies such as CNBC and improving scores as judged by S&P and other third-party groups and the Best Community Award at the Global CSR and ESG Summit in Vietnam. So the company continues to perform very well on the safety and ESG metrics. If we could just go to Slide 4, please. Despite a challenging year, which saw the LME price down another 10% versus the 2024 average, we were still able to deliver a robust EBITDA, pleasingly with a number of records set, including record nickel and cobalt tonnes at HNC, record NPI tonnes of 1,055,000 and record mine production of 19.2 wet metric tons million with sales of 9.9 million wet metric tons. By the numbers, revenue of $1.65 billion, adjusted EBITDA of USD 282.8 million. I should note that on the 2024 numbers, at the end of last year, Q4, there was some challenges due to using up the full RKAB for last year. That resulted in USD 21.5 million of standby costs to mine contractors. And it reduced our Q4 EBITDA from -- to $37.5 million versus the $87 million that was delivered in the third quarter, so about USD 50 million delta. Had that not occurred, if you add the USD 50 million on to the $282 million that delivered -- that we delivered, that gives you about $332 million, which is in line with our 2024 result of about USD 326 million. In 2025, we paid a dividend of $0.015 per share. And currently, net debt sits at $861.8 million. In terms of our processing operations, USD 207.7 million of adjusted EBITDA, or 133,000 tonnes of nickel produced. And ENC HPAL construction schedule is progressing very well and scheduled for commissioning in the first half of this year. Another busy year on the corporate front. We had a very successful bond refinancing. We raised $800 million, 5-year bullet senior unsecured notes. We were able to reduce the coupon from 11.25% to 9%. We also -- this removed the amortization. We did go out initially to raise USD 500 million. We had about USD 6 billion of orders. So it was very well supported. And pleasingly, the mix of investors was about 1/3 North America, 1/3 Europe and 1/3 Asia, where typically we've seen a majority of investors come out of Asia. We had approval just last week of increased RKAB sales quota, which is a very positive result given the significant cuts that have been occurring in country, and I'll talk about that a little bit later on. We announced the sale of a 10% interest in the ENC project to a strategic partner, Sphere, who is the super alloy supplier to SpaceX. And again, we see that as a very strong endorsement of the quality of the ENC project. We also announced supply of -- or supply -- signing of an MOU for supply of up to 14 million wet metric tons of ore from our Sampala project, where development is progressing very well. On the mining front, we delivered USD 91.6 million in EBITDA from mine operations, and I mentioned the record nickel ore sales of $9.9 million. And we've been able to successfully increase that from $9 million last year to $14.3 million this year, so almost 60% increase. If we could just go to the next slide, please. What this slide shows is the robustness of our business through the cycle, and we believe that we've come out of cyclical lows, which we experienced in 2025. If you look at the EBITDA number across the top there, you can see in 2022, it was USD 339 million, USD 403 million in '23, USD 326 million in '24 and USD 283 million in '25. That's despite the nickel price going from almost $30,000 in early 2024 to lows of $14,000 in 2025. We've been able to maintain a strong dividend over that period of time. And really how we've been able to maintain this strong EBITDA profile when a lot of other businesses have actually gone out of -- have left the market is the growth through the cycle. So you can see in 2022, our processed nickel tonnes were 70,000. Last year in 2025, it was 134,000. That is set to grow this year with the commissioning of ENC, which will bring another 72,000 to 80,000 tonnes of new nickel units at a very high margin. And our mine ore sales, which have increased from $3.5 million in 2022 to $9.9 million in 2025, and we now have approval to go to $14.3 million in 2026. If you could just go to the next slide, please. In terms of revenue, you can see there, down slightly to about $1.65 billion. Gross profit also down and operating profit. The key drivers have been there was a decrease in the NPI price versus 2024 of 2.8% and the LME nickel price was also down 9.8% versus 2024. I mentioned at the start of the call, the RKAB license did significantly impact the profit and EBITDA for this year and did also have an impact on grade and production volumes. Pleasingly, though, in the things that we can control, HNC production increased by 6.3%. HM sales increased 10%, as I mentioned, with potential for another 60% this year. And RKEF cash costs decreased 1.8%. So that, in summary, delivered about USD 283 million in adjusted EBITDA for 2025. If we could just go to the next slide. In terms of the balance sheet, we have a very robust balance sheet despite margin compression across 2025. As of 31st December, cash, USD 357 million, debt of USD 1.2 billion, so net debt of USD 866 million. That debt comprises USD 800 million of unsecured notes maturing September 2030 and USD 423 million of syndicated bank loan facilities with ranging maturities with an additional undrawn USD 50 million. There was an impairment charge of USD 8.1 million, and that was in relation to writing down of some of the limonite inventory. And that's unfortunately inventory that was sterilized for the construction of the ENC tailings facility. If we go to the next slide, please. Here, you have the reconciliations by waterfall. I won't talk through the numbers, but you can see that there. And if there's any questions in relation to the waterfall, happy to answer those at the end of the call. If we could just go to the next slide, please. In terms of our RKEF operations, I mentioned at the start of the call, record NPI production of 1,055,658 tonnes. Sorry, moderator, next slide, please. Cash costs were 1.8% lower and that was driven by lower nickel ore price given that it is linked to the LME price and lower power costs. The contracted price of $11,187 a tonne was lower than 2024. And so that resulted in a decline in adjusted EBITDA. And we saw about a $261 a tonne reduction in adjusted EBITDA per tonne. So it was down about 22% on the previous year. The good news is, and I'll touch on that later in this call, is that we are seeing -- we've seen a significant increase in the NPI price, and it's already more than 2 times what our average EBITDA per tonne price was for 2025. If we could just go to the next slide, please. Our HPAL operations performing very strongly. Again, another record 8,500 of attributable nickel tonnes to NIC and 802 of attributable cobalt tonnes. HNC continues to operate well above nameplate capacity, at around 40% above nameplate capacity. Cash costs increased slightly, mostly attributed to higher sulfur ore costs. MHP contract prices increased by 8% to around USD 14,990 a tonne. And the margins -- EBITDA per tonne margins were higher in 2025 versus 2024 of around $6,677. We've seen a very strong increase as well in EBITDA per tonne margins, particularly in January, where we're over USD 10,000 a tonne. ENC update, progressing very well. It's integrated nickel refinery for both the cathode and the nickel and cobalt sulfate plants is complete, and you can see that in the photos in the top there. The HPAL smelter itself is also nearing completion. We're starting to buy some of the consumables and outlaying working capital. Mechanical tests have commenced on key pieces of equipment, such as the CCD circuit, thickness, precipitation tanks, slurry storage tanks, reagent tanks and things like that. And there's been a reallocation of additional resources to ensuring the timely completion of the ENC plant. If we could just go to the next slide, please. We were delighted to announce the acquisition of 10% interest in the ENC project at a USD 2.4 billion valuation on 100%, which is above the USD 2.3 billion that Nickel Industries invested at. That investment was made by Sphere, KOSDAQ-listed premium alloy supplier. They're one of only 5 accredited SpaceX suppliers, and they're the only one that has a 10-year supply contract. So they supply all of the super alloy products, which are particularly nickel intense, to the SpaceX rocket program. We see this as a huge endorsement of the quality of the ENC project. And what it will also do is it opens up the potential for ENC product to go into other sectors within -- or other players within that aerospace and aeronautical industry, which is a very -- which is a growing industry. If we could just go to the next slide, please. There is a short video here, which moderator, are you able to click on that link? If it doesn't work, we can just bypass this page. If you're not able to open it, look, I would encourage everyone to visit this link and to open it. It will give you -- it's a very short video, and it shows the size and the scale and the tremendous progress that has been made at the ENC project. If we could just go to the next slide, please. Mining operations, I mentioned another record year of production, 19.2 million wet metric tons and sales of 9.9 million wet metric tons. Despite the limonite nickel grade decreasing, the limonite contract price increased 31%. That's related to increased demand for limonite ore from -- for Indonesian HPAL projects that are nonintegrated that we've been selling to. Again, this bodes extremely well for ENC, which will be fully integrated. So we will have a significant limonite cost advantage to HPAL producers that aren't integrated with their mine. And I mentioned at the start of the call, unfortunately, there was about $21.3 million in standby charges in the December quarter related to the RKAB extension. But pleasingly, we were able to -- we've been able to recently increase that to U.S. -- it's 14.3 million wet metric tons for 2026. Unfortunately, that -- that delay in the RKAB did see our adjusted EBITDA versus 2024 down slightly. If we just go to the next slide, please. The Sampala project is progressing very well. Of the required 24 kilometers of haul road that's required to link up the project with the IMIP, we are about 90% through completion of that first 8 kilometers. We've also been progressing the permitting. We've submitted feasibility studies for both the ANN and the ETL projects, and we're expecting approval of the feasibility study in the coming weeks. And for the ANN project, we've incorporated a slurry plant for an expansion of the ENC project, which is related to the MOU that was signed for the supply of 14 million tonnes of limonite a year for Sampala. So that will allow us to monetize the very significant limonite resources that we have at Sampala. We've been very aggressively drilling the project through the course of 2025, over 100,000 meters, and we're very confident of a resource of over 1 billion wet metric tons, which taking today's margin of around $12 a tonne, you can see the value of the Sampala project. And we have about USD 20 million, USD 30 million of CapEx left to bring that project into production. So it's a world-class ore body, and we're making good progress there in the development of that project. If we could just move to the next slide, please. There's 3 big catalysts that we've been telling people that we're aiming to deliver for 2026. The first of those is the increase in the Hengjaya mine RKAB, whilst it was short of the $19 million that we were seeking, I think the loss of 4 million to 5 million tonnes, which equates to sort of USD 50 million to USD 60 million in EBITDA has been more than outweighed in the significant increase that we've seen in the NPI and LME nickel price. And I'll talk about what that has done to our January results and what it means for us looking forward. To date, we are the only company that has achieved an increase, with larger companies being cut by almost 2/3 from their 2025 quota. So we think, again, strong endorsement of Hengjaya Mine's environmental and ESG track record. The additional $5.3 million will obviously -- should increase the EBITDA for the Hengjaya mine for 2026. The second catalyst is the commissioning of ENC and as you've just seen, that's progressing extremely well. And we reported HPAL margins of over $10,000 a tonne in January at 72,000 tonnes of nameplate capacity. But remembering that HNC is running at about 40% above nameplate. It's not unreasonable to think that there will be some outperformance at ENC as well. So we look forward to the commissioning and ramp-up of ENC over the course of this year and then first full year of production in 2027. And then finally, the Sampala mine, as I've just touched on, progressing well in terms of development. And that will add significant additional EBITDA as well, particularly given that we already have an MOU for 14 million tonnes of limonite on an annual basis. If we could just go to the next page, please. So the closing share price of $1.01 as of last week and a market capitalization of around USD 3.1 billion. We think we are very undervalued if you look forward for what we can deliver in 2026 and in 2027. The broker consensus forecast gives us an EV/EBITDA multiple of about 7.1x, but that's on about a $500 million EBITDA estimate for 2026. I would note that from our NPI -- well, in January, we delivered USD 50 million in EBITDA, and that consisted of NPI margins jumping over around 150% from about $1,114 a tonne for the December quarter of last year to $2,800 a tonne in January. We haven't yet captured that full NPI increase. So if you take our annualized NPI production of over 130,000 tonnes of nickel in NPI and apply a $3,000 a tonne margin, you can see that there's potential for close to USD 400 million in EBITDA just to be delivered this year, assuming pricing stays the same from our NPI business. We then have the HPAL margins at above $10,000 a ton, taking a conservative number of 20,000 to 30,000 tonnes for ENC for this year, there is another USD 200 million to USD 300 million in EBITDA. So we're already well past that $500 million broker consensus number. And then taking the $14.3 million RKAB and applying a $12 a tonne margin, that's another USD 170 million for calendar year 2026. So that puts us up around USD 700 million to USD 800 million, significantly reduces that EBITDA multiple back to sort of 4 times. So again, we think that the significant growth that we're looking forward to in 2026 is not yet priced into the stock. And as I said, looking forward into 2027, we'll have the first full year of ENC as well as the -- hopefully, the commissioning of the Sampala mine, which will deliver again, more incremental EBITDA. Any -- the final point, we're extremely well leveraged to any change in the nickel price given our significant volume. And I've just touched on the volumes for 2026 and additional volume growth coming in 2027. All of this growth is fully funded, requires minimal sustaining CapEx. We're the beneficiary of significant tax holidays and any improvement in the nickel price offers significant EBITDA upside. And I think that's been strongly evidenced in our January results alone. And so looking forward to 2026, assuming no change from where we sit now, and that price increase is being driven by the significant RKAB quota cuts, we're looking forward to a very strong 2026. With that, I hand over to questions.
Operator: [Operator Instructions] And your first question comes from the line of Austin Yun from Macquarie.
Austin Yun: Just a couple of questions. The first one is on the mining operations. I understand there was a mining landslide incident happened after the RKAB update. I'm just wondering if that had any implications of the Hengjaya mine to continue mining with that mining quota? Or has there been any changes since that event, the land slide event?
Justin Werner: Yes. Austin, I think you're referring to a QMB tailings bridge. That's not our operations and has nothing to do with our mining operations.
Austin Yun: Yes. Understood. That's a third-party mine, but I just wonder if -- okay, it sounds like no impact. The second one is on, I believe your RKEF and ENC is fully covered by this new RKAB quota. Just keen to understand for the HNC HPAL process, what's the source of ore and given the recent cut to Weda Bay, has that had any impact on the HNC operation?
Justin Werner: Yes. So this quota will allow us to provide 100% of the ore requirements for ENC for 2026. It will also mean that we will be able to supply the same amount of saprolite that was supplied last year to our RKEF in IMIP. So that puts them at about 60% self-sufficiency. So there's no change there. We currently don't supply to HNC. They are supplied by another third-party. So that we will only supply moving forward this year. Once we start commissioning 100% of our limonite, we'll be going to ENC and no other parties.
Austin Yun: And just lastly, on the capital allocation. It's good to see that the cash flow pressure is taking off a bit by the sell-down of the ENC. Given we're entering a period of high nickel price, just keen to understand your capital allocation priority for the next 12 months and how you think about balancing between debt reduction versus shareholder return?
Justin Werner: Yes. So we have about USD 46 million remaining for 2% in ENC, which is due in the end of March of this year. In terms of any other CapEx payments, there's just USD 20 million to USD 30 million for the development of the Sampala project. So look, that's it for this year. We'll have around USD 100 million of interest payments. So I think looking forward, we should generate some strong free cash flow. How we will be looking -- taking a look midway through the year and looking at, is it appropriate to look at -- to revisit the dividend, to look at the share buyback and obviously, any debt payments. So we'll be making that decision as a Board later in the year. We have been working and -- throughout last year, and we'll be continuing to do the same this year to really optimize that debt stack, bring down the interest rate, try to remove as much amortization as we can and push out the maturities. And so we continue to work on optimizing that debt stack moving forward.
Operator: Your next question comes from the line of Richard Knights from Barrenjoey.
Richard Knights: Just on the 14.5 million tonne quota, I presume you'll be looking to try and increase that midyear. I mean, how do you think about the phasing of production over the next sort of 6 months? Should we be just sort of flatlining it at -- or flatlining sales at a sort of 14.5 divided by 12 monthly number?
Justin Werner: Yes. We are able to make another application midway through the year to increase the RKAB. So we will be doing that. In terms of the sales numbers, once ramped up, and I think you could sort of look at around sort of September of this year, we will need about 1 million wet metric tons of limonite on a monthly basis. So we will be looking at sort of maintaining where we are at the moment. And so we shouldn't see a significant change on a monthly basis. And we've sort of now reduced our limonite supply to third-parties. And so we're more focused on saprolite at the moment.
Richard Knights: Yes. Okay. And I think you mentioned in the call that Sampala, you're now looking at a 2027 start. Is that right? And when -- if that's the case, when do you think you'll have to make the incremental payment to the landowner there?
Justin Werner: Yes. So we're very focused on permitting there. And unfortunately, as with a lot of things in Indonesia, there is permitting approvals that are required that are outside of our control. But we obviously are doing everything similar to what we did with the RKAB to ensure that we can progress those on a timely manner in a -- with a good outcome. In terms of the resource development and closing of that project, we are looking to get an update out to shareholders this week.
Richard Knights: Right. Okay. Yes. Okay. So we'll wait for that. And then is Chris on the line at all? I just had a couple of nitpicky questions about some of the expenses. In particular, there was a financing expense line of $22 million in there that didn't include the bond issue costs. Just wondering what that was?
Christopher Shepherd: There's -- it's not the bond issue costs, the early takeout of the October '28 bonds. And obviously, taking that earlier, there was a make-holder pay on that.
Richard Knights: Got it. Got it. And then just in other expenses, there was a $15 million other expense, $15.6 million, that was quite a big number. Just wondering if you can share any flavor of the kind of things that were in there?
Christopher Shepherd: Yes, there were some increased selling expenses out of our RKEF operations and also a write-off of the loan of some of the loans to -- which is in Note 8. We carry some loans for the Sao Paulo transaction, but that's the majority of the differences.
Operator: Your next question comes from the line of David Coates from Bell Potter Securities.
David Coates: Great. Most of my questions have been answered actually. But a couple of smaller ones. Justin, would you mind just running through the swing factors on the Hengjaya mine expansion? You touched on at the start of the call. Could you just outline those again for us, please, in terms of the impact on profitability?
Justin Werner: Yes. There was obviously -- the significant one was the USD 21.5 million in standby costs in the December quarter. Other than that, margins remained fairly stable throughout 2025. We did see some price increases in limonite ore. But look, that -- the big factor in Hengjaya mine performance was really that -- those standby costs pretty much for the whole of the December quarter. We were only able to mine for the last 19 days of December.
David Coates: And what was the sort of, I guess, sort of a lost production that came out of that, that you might estimate out of that?
Justin Werner: Yes. Look, given that prior to that, we actually had 2 record months before we stopped of over 1.5 million, potentially at sort of 4.5 million tonnes. So probably USD 45 million. That's at a $10 margin, probably more than that at $12, which is what we -- sort of we're seeing. So that sort of USD 50 million to USD 60 million in lost EBITDA. So I think that's sort of -- putting that back into the adjusted EBITDA numbers, it would have seen us on a pretty even kill to the 2024 adjusted EBITDA number.
David Coates: And Chris, just again, a little bit of a detailed one. D&A charges for heading into 2026, what sort of an increase would we be looking to see roughly? If you can illustrate any [indiscernible] indication of that at all?
Christopher Shepherd: Off the top of my head, I'd be guessing, so I'm not going to do so -- I'll come back to you.
Operator: [Operator Instructions] And your next question comes from the line of Jonathan Tan from BlackRock.
Jonathan Tan: I think I just got a couple of clarification points, right? So the first one is that I know that you are producing above nameplate capacity for the RKEF plants. But how much [ores ] does ENC and the RKEF plants require separately on a full year of nameplate capacity?
Justin Werner: Yes. Thanks, Jonathan. ENC will require about -- at full nameplate about USD 12 million to USD 14 million -- sorry, 12 million to 14 million tonnes of limonite and our HPAL operations roughly require about 1 million to 1.2 million tonnes of saprolite ore on an annual basis, and we have 12 lines, 4 of those, I would note, are at a smaller capacity. So our saprolite requirements are about sort of 10 million to 11 million a year. So that's where the -- we sold close to $6 million in saprolite last year. So that's where we're sort of sitting at about that 60% self-sufficiency.
Jonathan Tan: Okay. Then I guess the follow-up question to that will be what's the cost difference between being self-sufficient and having to purchase the required ores? And I guess, do you see any difficulty in purchasing the required ores because it looks like it's like [ 20 to 25 ] in total versus your 14.5 million quota?
Justin Werner: Yes. So there is a cost -- big cost advantage in being self-sufficient. The reason for that is that given the shortages, there is a premium over and above the market price. That premium has ranged anywhere from sort of $10 up to almost $30. And so given that ore is about 35% of your cost base for your operations, there is an impact to the profitability of the RKEF. But I think that's been more than outweighed if you look at the NPI price increase, as I mentioned, it's up over -- there's a significant increase in the NPI price. And that led to, if you look at January, 150% increase in our EBITDA per tonne margins. So there is an impact, but the increase in the NPI price for us is far outweighing the increase in -- any increase in the ore costs. In terms of supply, Indonesia consumed about 270 million tonnes of ore last year. The current RKAB quota is about $250 million. That's what the government is looking to set. So there may be some shortages that will be filled by ore from the Philippines. But we don't see any risk to our operations of being able to secure ore supply. We think the risk will be smaller nonintegrated players that won't be able to purchase ore and don't have the power advantage. They have -- already have a much higher cost.
Jonathan Tan: Got it. I think I just have one last question. So in terms of your Sao Paula mine, what's the expected quota for 2027, I mean, given that it got kind of tightened?
Justin Werner: For Sampala, our initial target will be about 6 million ramping up to -- we obviously would need about $14 million to meet our -- the requirement for our MOU. We -- reason we're confident in being able to achieve that is Sampala actually has 3 different IUPs. So each IUP makes an individual application. So we think we'll probably have a better chance of -- let's say, we want to do -- we want to get to 18 million tonnes. We think we'll have a better chance of doing an aggregate of 6 million tonnes per company per IUP rather than trying to get a headline 18 million tonnes out of just one IUP.
Operator: Your next question comes from the line of Dim Ariyasinghe from UBS.
Dim Ariyasinghe: Just a couple of ones. First on the ENC ramp-up. So you talked to commissioning over this quarter. Just in terms of like first sales though, can you walk us through that? Have you got the license to commercially produce, I think, IUI? Yes, what does that look like over the course of the year?
Justin Werner: Yes. So the IUI, we can't actually apply for that until there's sort of mechanical completion and a closing off of the investment CapEx by the government. And then in terms of first sales, we're probably targeting somewhere around July. Given that first sales out of the HPAL plant, you're talking about a 2 to 3-week resonance time from feeding first ore to achieving first product and about a 40-day resonance time from feeding MHP into the cathode and sulfate refineries to produce product from those refineries.
Dim Ariyasinghe: That's clear. And then just on the broader RKAB news. Is there any -- and so somewhat positive that you got more than previous years, but not what you requested. Is there any signs between -- in -- so you're getting allocated 14 versus Weda Bay, I think, getting 12 and requesting 42. Yes. Can you walk through the rationale there? Or is it pretty opaque, I guess?
Justin Werner: Look, that is something that we have raised with the government. We think that providing more transparency would certainly be well received by miners in Indonesia. I mean, Weda Bay, we were told that their number was calculated based off -- they only have 8 RKEF lines. So it was the 8 RKEF lines, which require about 8 million tonnes a year, plus they were given 30% over that. Our number was based on what we did last year in saprolite, plus the 8 million tonnes of limonite that's required for ENC this year, given that it's not a full year of production. And so it's not the 12 million to 14 million that's required next year. So look, they've told us that there is some science behind it, but they haven't provided any sort of transparency in terms of how it was actually calculated or they haven't provided transparency certainly to the broader market either. Slightly frustrating. But look, I think it's not also just that. It is what is your rehabilitation track record and your environmental track record? Are you up to date on payment of royalties and taxes? And have you been a good payer of royalties and taxes rather than being someone who's been slow or relaxed? So I think there's other things that go into it. So as I said, unfortunately, it's not transparent at this point, but something that I think a lot of miners in Indonesia are pushing the government for moving forward.
Operator: Your next question comes from the line of Mitch Ryan from Jefferies.
Mitch Ryan: Just following on from Dim's question there, given the material cuts to some of the feed sources for WIP, what happens to your capacity within that if you're unable to source appropriate feed? Or how do we think about just the broader facility there? Does everyone get scaled back accordingly? Or do some lines get turned off if you're unable to source the 100% required feedstock over the course of this calendar year?
Justin Werner: Yes. Look, we actually had a Board meeting end of last week with Tsingshan. And they are confident that there will be no scaling back, that they'll be able to source the required ore from other third-party ore suppliers. And coming back to the numbers, I mean, there was only $270 million produced of all sales made last year, and there was over $350 million of RKAB quota issued. So a lot of companies were issued quota and didn't even use it. The $250 million that they've introduced this year, assuming everyone reaches it because, obviously, it's very valuable. We think there's only a small requirement of ore. And that $20 million will most likely be to other nonintegrated players that as I said earlier, I think they'll struggle to source that ore in the market.
Mitch Ryan: Okay. And then just with the ENC ramp-up, can you give us -- you've obviously got performance guarantees within that agreement. Can you just remind us of some of the key milestones for those and how that would work if for any reason that ramp-up was slightly delayed?
Justin Werner: Yes. That's something in terms of those guarantees that we'll be working through Tsingshan in the coming months as we move forward with the commissioning and ramp-up.
Operator: Your next question comes from the line of Tim Win from Win Dragon Family Trust.
Unknown Analyst: It's been covered.
Operator: [Operator Instructions] And your next question comes from the line of Jit Ming Tan from Barclays Bank.
Jit Ming Tan: I just wanted to get some clarity on the ENC's 10% acquisition by Sphere. There have been some changes to the final terms from what was originally announced. Can you just walk us through why that was the case, especially the credit enhancement that Nickel Industries provided as well as Nickel Industries stake which was, I think, originally intended to be 55% at the final end, but is now at 46%?
Justin Werner: Chris, do you want to take that one?
Christopher Shepherd: Yes, that's fine, Justin. Thanks for the question, Jit Ming. The first one, I think what you might be referring to, I don't think there has been any change -- sorry, I don't think there has been any change in what we've announced. Sphere is always taking 10% of the -- of ENC for $2.4 billion. $30 million of that is in an equity payment, which they have made in full as of today and the remaining $210 million in debt. The important thing around the $210 million in debt, when we're in conversations with Sphere towards the end of 2025, Sphere was a $200 million market -- listed market cap -- listed company in Korea with a market cap of around USD 200 million, very difficult for anyone at that level to acquire to make a $240 million acquisition. We saw the strategic advantage in bringing -- or strategic benefit of bringing SpaceX into our supply chain -- into our customer chain, sorry, and being a supplier effectively to SpaceX with Sphere being the intermediary. So we -- the 3 lenders who provided that loan are very well known to Nickel Industries. There are -- 2 of the 3 are existing lenders to Nickel Industries. And -- so we were very comfortable -- and they were very comfortable taking effectively Nickel Industries risk. And so we provided guarantees to Sphere for that $210 million. As set out throughout the report, you can see that it positions us very well. If for whatever reason Sphere ever defaulted, which based on the cash flows that we're seeing out of HNC and what we expect for ENC, we cannot see that, that could be the case, but we would simply step into Sphere's shoes for that 10%, effectively acquire that for -- and then take over the loan. So effectively acquire that remaining 10% for a significantly higher -- a significantly lower amount than what we were previously looking to pay for our remaining 11% for ENC. The reason why we've gone -- so that left us still sitting at 44% rather than going up to 55%. The reason why we've announced another 2% increase is predominantly because we wanted to be the largest shareholder in ENC. And so we -- and then Shanghai Decent was very happy with that. So we increased -- bought 2% and they obviously sold us down 2%, or they will sell us down. We've got a remaining $46 million payment to make by 31 March, and that will be our final payment for ENC. What it also does, bringing -- not making those final payments, as you can see in our announcement, is it releases another $207 million of commitments that we were going to make 2 payments, one on 1 July this year and one on 1 October. So it's really a way to also strengthen our balance sheet going forward. And as we continue to watch the margins, hopefully, the margin stays steady. I'm not going to try to predict margins. So just releasing in the near-term, that commitment of over $200 million through conversations with various interested stakeholders was considered to be very prudent balance sheet management.
Jit Ming Tan: Appreciate that, Chris. If I can follow up, can you talk a bit about when Sphere's offtake arrangement will start and if you are in discussion with any other third-party customers for offtake arrangements as well out of ENC?
Christopher Shepherd: Sphere is a 10% equity holder in ENC now, has rights to 10% of the product that comes out. So as soon as production starts coming out, as products are sent from ENC, Sphere will receive its share of the products. In terms of other customer or other potential offtakers, Justin, do you want to talk to that?
Justin Werner: Yes. So look, we are in discussions with a number of other offtakers. Obviously, the Sphere announcement has been positively received. So we will continue to have those discussions as we near first -- production of first product.
Operator: There are no further questions at this time. So I would like to hand back for closing comments.
Justin Werner: Thanks again, everyone. As I finished on, given the significant strengthening in the NPI and LME nickel price and the delivery of USD 50 million in EBITDA from operations in January alone, we think that we're extremely well placed in 2026 for a very strong year. And obviously, with ENC commissioning at the current $10,000 a tonne margin in the HPAL business, we're set up for a very good year, and we look forward to delivering EBITDA that is -- that should be significantly stronger than last year, which was obviously a tough year given it's probably the lowest nickel price we've had in the last couple of years. But despite that, we were still able to deliver robust EBITDA. So thank you, everyone, for your time today.
Operator: That does conclude our conference for today. Thank you for participating. You may now all disconnect.